Fabiana Oliver: Good morning, everyone. Let's begin the Lojas Renner S.A. video conference call. With me today are Fabio Faccio, our CEO; and Daniel Santos, CFO. Before giving them the floor, I'd like to make some announcements. This video conference call is being recorded. And translated simultaneously into English. We will show here the presentation in Portuguese. So for those following the call in English, the English version can be downloaded from the chat. And from our IR website. Questions from journalists can be directed to our press office through the (113) 165-9586. Before proceeding, let me mention that forward-looking statements relative to the company's business perspectives, projections and operating and financial goals are based on beliefs and assumptions and on information currently available. They are not a guarantee of performance as they depend on circumstances that may or may not occur. During the Q&A PAUSE Questions may be asked live. I now turn the floor to Fabio.
Fabio Faccio: Very well. Thank you all. Thank you for coming. Thank you for your time. Our Q4 confirms that our model generates profitability. Gross margin gains are the result of our operational evolution and the investments we made. We are now close to prepandemic levels, and the margin is sustainable, also with opportunity for growth. Expense growth was half that of sales growth. Even having a start of quarter that was slightly more challenging with milder temperatures, the performance of Black Friday and Christmas were very good and also with a lower promotional activity than the previous year. The efficiency of our model signaled another opportunity that of improving sales performance during times of transition. We also made progress in structuring our expense reduction plan. And this is an essential opportunity to prepare our company for the 2026-2030 period. So what characterized the year of 2025? Our sales performance in 2025 in the full year was in line with our expectations. We grew twice as fast as the market according to the trade monthly survey. We have the highest growth among our peers, our comparable peers. And we confirmed the expectations we had at the beginning of the year regarding how the year would unfold. We wouldn't have equal quarters, but the first half would be stronger. We grew 15.6% in the first half and the second half with lower growth. 2025 also confirmed the efficiency of our model in growing margins. This growing margins are the result of our inventory management, not only with smaller inventories, but mainly newer inventories. At the same time, we posted productivity gains with dilution of expenses. At Realize, we also had a year of good results, still acting prudently regarding credit granting. Well, given the risky environment that we see. Youcom also posted another year of strong growth. And Camicado had excellent margin growth. We increased our ROIC and delivered robust cash generation. We posted record net income, both in the quarter and in the full year with a return of BRL 1.8 billion to our shareholders in terms of interest on capital or share buyback. And we had a 27% increase in earnings per share. We ended 2025 motivated by the progress achieved by the company. I would also like to give you some examples of actions we took over 2025. When we look at our Renner brand and talking about fashion execution. We wanted to leave a universe of just fashion retail to become more of a fashion brand with leadership and authority in fashion. Within the Dare to Be You positioning, we strengthened our collabs and licensing strategies aiming to expand our perception as fashion experts and to reinforce sustainability and a Brazilian identity. We built a network of relationships with ambassadors, creators and influencers, who reinforce brand awareness, principality and leadership, and we evolved our artificial intelligence tools for further personalization and greater assertiveness. As a result, the Renner brand grew by 25 percentage points in brand recognition as a brand that knows, understands and creates fashion. Brand relevance remains unchanged. Very high, top of change in its category fashion and Brazil's most beloved fashion brand. Renner is also the brand with the highest engagement on social media. Now talking about expansion. We began accelerating store openings in 2025. In 2024, we already had more stores. We opened 23 stores. In 2025, we opened 34 stores. And in 2024 we closed more stores. So net opening in 2024 was 13. In 2025, net opening 31 stores. We accelerated expansion and remodeling of stores, also because those renovated stores provide improved customer experience and boost sales. And we had omni growth. It happened in brick-and-mortar stores and in the digital channel. In digital, we continue to gain scale and efficiency. We adopted new initiatives which personalize the offer and contribute to an increase in conversion rate. Let me give you some examples of digital advances. Just this quarter, Q4, we launched the virtual fitting room, where customers can try on different pieces of clothing in a virtual dynamic and very realistic way. Well, this is not yet available for all items. We see a 2.6% increase in conversion, and this should continue to evolve when we start operating this to more elaborate items into more pieces of clothing. Another important example. We are expanding the use of AI in the creation of content, mainly for the kids category. This has led to a 60% increase in views for this category. Another example is the omni shopping bag, where shoppers can purchase online and off-line at the same time. So they are at a store, they can buy, they can order something else to be delivered to their home. And this improves the culture and conversion rate. In brick-and-mortar stores, we have a much more assertive mix. We have more personalized fulfillment for every group of stores, for every group of customers. We have an increasingly fluid online and offline integration. And as a consequence of that, in addition to omni and off growth, we have continuous increase in NPS and expansion of the customer base. We will continue to advance in omni channel productivity and consistently scale value. Now when we do all that, we increased our productivity gains. We further expanded our leadership in performance per square meter. Sales per square meter reached BRL 17,000 per square meter in the year. We continue to have the highest productivity in the sector, increasing the difference in the gap to our peers. On average, we are 45% above our direct competitors. We had the highest sales growth among comparable peers but we have an opportunity to grow and sell even more. The operating model allowed us to see 2 opportunities to boost our results: executing cost reduction strategies and optimizing sales opportunities, mainly during seasonal transitions replacing marked-down items with new products on a larger scale than we have historically done. This path like all model evolution is gradual and continuous but it is important also to understand what 2025 meant for our 2026-2030 strategy, which we announced in our last Investor Day at the end of the year. Although 2025 is not part of the guidance horizon, 2026 to 2030, well, the year evolved in the same direction as the guidance in terms of sales growth, dilution of expenses, increased profitability and ROIC and even with store expansion, which was 34 stores in 2025. For 2026, we are aiming to 50 to 60 stores in total. So 2025 has already shown that the plan that we announced is feasible and tangible. I'll now hand over to Daniel, he's going to give us more data on the quarter and full year 2025.
Daniel dos Santos: Thank you, Fabio. Good morning. To speak about growth. In Q4, we achieved 4.3% retail growth and 5.1% in apparel. This represents competitive sales growth even with lower than usual temperatures in the first half of the quarter, which resulted in lower store foot traffic and economic factors that pressured consumers' purchasing power. This performance reflected the positive reception of the high summer collection, particularly in the athleisure and beachwear categories and the improvement in the in-season reaction cycles and assortment allocation processes. In the full year 2025, we grew 9.2% in retail revenue and 10.4% in apparel. The breakdown of our 9.2% revenue growth already reflects the key growth pillars that support our long-term growth ambition. They are prices in line with market inflation, positive impact of mix due to better inventory mix, superior growth of the digital channel and Youcom and store expansion plan for Renner as well as for Youcom. In 2025, we opened 34 stores, including 14 Renner stores, 17 Youcom stores and 3 Camicado stores, resulting in a 1.8% expansion in full space. Not all of this expansion in area converted into sales in 2025, given that most of the openings occurred near the end of the year. We saw an increase in our customer base and in-store traffic and app and website traffic, which increased sales volume. We found that while our shoppers purchased fewer items per transaction, on the other hand, they made more purchases and spend more on average. On our digital channel, GMV grew by 10%, reaching a 14% share of total sales. This performance was driven by important innovations that enhance the customer experience and channel efficiency. As a result, retail revenue per square meter, one of the company's main drivers of growth and omnichannel productivity increased by more than 7% during the year, reaching BRL 17,000 per square meter, the highest among comparable peers. As for the gross margin. We ended Q4 with a retail gross margin of 56.5%, up 0.7 percentage points over fourth quarter 2024. Gross margin for apparel was 57.9%, increasing 0.8 percentage points. For the full year, gross margin grew 0.7 percentage points to 56.1% close to our historical record for gross margin. This performance was made possible by the greater share of new items in sales and the evolution of the supply model, which resulted in a healthy level of markdowns. The evolution and the mix added to price adjustments in line with inflation also contributed to an improvement in margins in 2025. Youcom reported a 0.9 percentage point reduction in gross margin in the quarter as a result of mix adjustments to renew inventories. These adjustments have already been made and Youcom will continue on its growth trajectory. For the full year, gross margin remained stable at around 6%. Camicado reported a 1.2 percentage point increase in gross margin compared to the previous year, reflecting adequate commercial management and a greater share of private label items, home and style. For the year, Camicado's gross margin was 56.5%, up 1.7 percentage points over the previous year. The company ended 2025 with a renewed inventory position and with fewer markdowns, which allowed us to start the year with renewed products in our stores, in our app and in our brick-and-mortar stores. As for expenses in the quarter, operating expenses grew by 2%, the lowest growth of the year. Even excluding PPR expenses, PPR being profit sharing program, our operating expenses grew 3.3%. As a result, we saw a dilution of expenses in relation to retail net revenue of 0.7 percentage points year-on-year. Sales expenses grew by around 3% in the quarter compared to the previous year, resulting in a 0.4 percentage point reduction in their share of retail revenue. General and administrative expenses grew 4% in Q4, in line with inflation for the period. The increase in spending on third-party services was offset by substantial reductions in shipping costs. In the full year, operating expenses grew 8%, resulting in dilution of expenses in relation to retail net revenue of 0.4 percentage points, reflecting our commitment to deliver consistent operational leverage in 2025. In 2025, expenses linked to the profit sharing program or PPR, which covers approximately 23,000 employees, excluding statutory offices grew 16% and accounted for 12% of net income, down 0.6 percentage points versus 2024. The total amount provisioned for 2025 was calculated based on the average achievement of 103% of corporate, individual and strategic targets. Each business unit has specific triggers and targets. Moving on now to Realize. The quarterly result of Realize reflects the consistency of risk management throughout the year, cautious origination and good portfolio risk management. It is important to note that we had a nonrecurring impact in 2025 of BRL 115 million that needs to be considered in the projections for 2026. And this nonrecurring impact happened entirely in the first half of the year. Our over 90 ex the effect of regulation of 4,966 closed at 13.8% in line with the previous year. And our short-term delinquency remains at low levels. This performance was mainly due to a careful credit granting model that allowed us to maintain a low-risk portfolio. In the medium term, we do not expect any change in our lending policy given the high default scenario that continues to happen in the country. As for net income in the company's profitability indicators, net income increased 13.4% in the quarter and 21.8% in the full year reaching a record mark of BRL 1.5 billion, reflecting improved operating performance in the Retail and Financial Services segments despite lower financial result and a higher effective corporate income tax rate. Earnings per share grew 26.7% in the full year, also a record mark. The 12-month cumulative ROIC increased by 2.3 percentage points to 14.7%. The continued growth of ROIC is supported by margin gains, higher asset turnover driven by inventory productivity, working capital discipline and store expansion with incremental returns in new markets. Cash generation in 2025 remained stable at BRL 1.4 billion, a slight decrease justified by an increase in CapEx in 2025. We distributed BRL 1.8 billion to shareholders in the period, including interest on capital and share buyback plan, which represented in total approximately 112% of the year's profit. As a reminder, distribution at this level of net income was only possible because we used reserves from previous years. Now as for the outlook for 2026. Our growth expectation for 2026 is 9% to 13%, in line with the guidance disclosed in the end of 2025 in our Investor Day. It is important to note and stress that growth dynamics for 2026 will be the opposite of what we saw in 2025. Stronger growth in the second half of the year due to a more challenging comparison base with the first half of 2025. When as Fabio mentioned, we grew 15.6%. The composition of revenue growth in 2026 will feature an increased contribution from revenue coming from accelerated expansion. In 2025, we accelerated expansion with 23 store openings concentrated mainly in Q4 '25. These new stores will contribute to sales for the whole 2026. In addition, we will expand by 50 to 60 stores, which will contribute significantly to year-end sales. And as mentioned on our Investor Day, we expect digital growth to outpace physical stores growth. In January and February of this year, we completed the transfer of old inventory from the digital channel to Cabreúva distribution center and ended sales operations via the Rio de Janeiro DC. This transfer caused the temporary unavailability of old inventory for the digital channel, impacting digital channel sales in Q1 but in a planned fashion. This situation was already -- has already been resolved. We chose to execute this based on our strategy in Q1 because it is the quarter with the lowest sales share and lowest operational impact for the year. This was an important step in the process of centralizing sales operations at the Sao Paulo Cabreúva distribution center. We will continue in 2026 on our journey to expand the gross margin. We will have operational leverage in 2026 as a result of expected growth and efficiency gains. We have made progress in identifying opportunities and now have the support of a consulting firm specialized in mapping out new initiatives and implementing short- and medium-term actions. As for capital allocation, we disclosed yesterday in a material fact that our proposed capital budget for 2026 is around BRL 1 billion with a focus on opening and renovation of stores. We expect to open between 50 and 60 stores. Our expansion process remains careful and diligent ensuring capital allocation in cities, in neighborhoods that are appropriate for our return objectives. As for capital distribution, profit distribution will be prioritized based on IoC, the buyback plan announced last year and/or dividends, all subject to the availability of reserves and our minimum cash limit. As a reminder, the distribution guidance we disclosed last year is an estimate. It does not represent a cap of distribution. In this way, we will continue our journey of ROIC evolution and value creation for our shareholders. With this, I turn the floor back to Fabi.
Fabiana Oliver: Let us now begin the Q&A session. [Operator Instructions] First question from Joseph Giordano with JPMorgan.
Joseph Giordano: I'd like to know more about 2 main points. The first leverage of sales per square meter. Perhaps we have 2 factors here. One is digital, as Fabi showed. He showed a lot of operational improvements and customer experience. And the second point, the renovations. We have a lot to be done during the year. Could you give us an update on how the stores have been performing -- renovated stores have been performing compared to the comparable cluster. How are you seeing this? And the second point has to do with the investments. We have the DC maturing. Of course, this contributes to gross margin. Daniel mentioned that he expects some expansion. So perhaps, 1 or 2 more years or expansion of gross margin. And then the CapEx for technology, there are many of initiatives, the CapEx is much higher. So I'd like you to explore these 2 points.
Fabio Faccio: Thank you, Joseph. Well, on leverage of sales per square meter. As you mentioned, this comes from digital. Yes, we have been investing. And I think that I will also talk about technology CapEx. CapEx is mainly geared as a priority to new stores. In recent years, it was geared to infrastructure. And CapEx is also being directed to technology, data, artificial intelligence, improving customer's journey. So growth comes a lot from the digital channel and also the physical channel. I think it is an interrelationship, intertwining of both that is important. Improvements in digital have brought more improvements. It adds to total growth. But brick-and-mortar stores, both mature stores and renovated ones have been performing well. Both mature and renovated stores are above the average of the clusters. It's kind of hard to break down how much better our renovated store performs compared to others because there are many variables involved, but that performance is paying our bills because performance is improving. And as we mentioned in the Investor Day, we can have an investment cost per square meter, either new stores or renovated stores that is lower. We're being more efficient in using our investments. So this has brought -- this has been driven -- driving up our sales per square meter. As for the DC maturation and expansion of gross margin. It's all connected. It's not just the DC. As we always say, it's an end-to-end process. It's the whole model, capturing trends, improving collections, assertiveness of collections, assertiveness in distribution. It is our ability with the DC to distribute things in a granular fashion. This has helped us a lot. We have been reaping the fruits the stabilization of the DC in 2024, and we continue to reaping fruits now and in the future. And this is very important for the gross margin because the ticket has been increasing because we are selling new products, and we are reducing the sale of markdown items. That increases the ticket and the margin. So it's win-win. And this has been incremental month after month. It's easy to see in our balance sheet. We grew our sales 9% and reduced inventories by 3%. But a qualitative piece data, which is not there. So we have followed the percentage of our inventory, which is the oldest, more prone to markdowns, and that inventory was reduced by 16%. So we have a very competitive entry price for our shoppers with a healthy margin, and we can gain more margin by reducing markdowns. This is the result of the model that this is also a very important part of that. So it's the whole model and the DC contributing to that.
Daniel dos Santos: Joe, your comment on the technology CapEx because we saw some reports talking about that. In Q4 there was a comment that there was a leap in CapEx, but 2 points to mention here. In our investment plan, disclosed in the beginning of the year about [ 320 ] technology was spent [ 350 ] flat. There was a theme of phasing out in Q4, there was slightly more spending. And basically, licenses. In technology, there are some licenses that are renewed between 3 and 4 years. So we had more licensing renewed in the end of the year. The license renew, there's a CapEx involved, but it's paid out over its use along the year. That's the only thing that I can comment on the technology CapEx.
Fabiana Oliver: The next question from Pedro Pinto with Bradesco.
Pedro Pinto: I'd like to mention 2 points. First, I'd like you to elaborate on expenses. You mentioned that in selling expenses, publicity and advertising sales were the highlight. In G&A, there was a reduction in utilities, in shipping. So could you elaborate on the line items that should support the 3.5% efficiency or percentage points in efficiency. There is a part related to operational efficiency. If the company has a 9% to 13% increase in revenue, but you suggested some line items where you could improve efficiency. Are these the ones? Are there any others? And is that the order of magnitude? That's my first point about expenses. The other point I'd like to explore is an update in the cohort of stores opened in 2024, '25. A lot of things happening in Q4 '25. We're not going to have a lot of data about that. But perhaps, those that have been opened for longer, I'd like to know about the ramp-up of sales? And things that the newer stores can inform us the timing, cost of occupancy, personnel versus the current lot of stores. If you could quantify that, it would be nice because with the acceleration of store openings that is coming, it would be nice to follow these metrics.
Daniel dos Santos: Thank you, Pedro. Speaking about expenses. Well, first, as you said it yourself, we delivered operational leverage for 2025. And it is our target to deliver this over the 2026-2030 cycle. There are 2 drivers that we mentioned. First, the company's ability to deliver growth that we estimate between 9% to 13%. And doing that, delivering of that without the need to have greater investment. In other words, delivering growth by using an installed expense base that will allow us to have gains of scale. The other point is efficiency. It's what I mentioned in my outlook for 2026. We have identified some opportunities already. We have an external consulting firm that is working with us. To revisit these opportunities, come up with new opportunities so that we can adopt an implementation plan, an action plan to implement these opportunities. Where are the opportunities coming from? There are opportunities in selling and G&A expenses. There is not just one single sweet spot where we can find opportunities. We believe we can find opportunities across the board, in terms of gaining efficiency, in possible activities that can be performed with more efficiency, some activities that can stop being done. And that's the work that we're doing with this consulting firm. And as for open stores, I would say that, they are behaving as planned. These stores have a profile where on one hand, they are smaller stores. And of course, they have sale per square meter, which is lower than our base because we have an average bigger size of stores, but there's an occupancy cost and the personnel cost, when we look at total SG&A that is -- it is lower than the installed base we have. And that's why these stores collaborate more in terms of company's profitability.
Fabiana Oliver: Next question from Bob Ford with Bank of America Merrill Lynch.
Robert Ford: Fabio, as you improve the supply chain and efficiency, how should we think about working capital and additional improvements to gross margin? And what are you thinking in 2026? And what is the percentage of collections, especially the winter collection.
Fabio Faccio: Thank you, Bob. It is what we mentioned before, I think that the key point about our model is to be able to produce closer to in-season periods when we have demand. That varies a lot in terms of collection assertiveness. We have the ability to produce 15 million to 25 million or almost 30% of our production happening in season. We are working to get that up to 40%, which is what we think is necessary. Well, there's a point of basic items, more constant items. So we have been working on that. And I think that this is bringing us margin gains and cash flow margins. We start having turnover inventories, store improvement in ticket margin and cash flow. And the trend is that we are going to have a gradual and continuous evolution. We continue to -- we expect to continue to have gains in inventory turnover margins, et cetera. As for the winter season and more specifically, that's a more challenging season in the end of the cycle for us. Both due to greater penetration of imported items and also the risks that we have a smaller collection time. We spoke about this last year. We have already implemented some initiatives in terms of having a faster flow of imported items or to replace some transition products by national items. That's what I mentioned. It's an opportunity during seasonal transitions, and that applies to several moments. What we have seen in our model and with the evolution of our model is that historically, at some moments, end of cycle of summer or winter when we are starting spring or fall, these ends of cycle historically dependent more on marked down items. So what's happening is that we are having fewer and fewer markdowns, and we are able to turn over our inventory faster and faster, which is very good. So we are testing. A part of the opportunistic sale will be reduced, but we can replace part of that sale by new items with a higher ticket and a higher margin for the company. That is an important opportunity for us. So we're testing this. Of course, we have to test what kind of product is accepted because it's not too clear to relationship. But we've been testing this. And we've had a good response with some of these items in recent cycles. So we see good performance of new items replacing those sales and generating margin. I think it's a gradual evolution that we're going to see, as I said in my opening remarks. This applies to both end of cycle, seasonal transition and weather variations. I think that this is an opportunity that we're starting to see good results, and we believe that gradually, this will also continue to evolve.
Robert Ford: Okay. What are you thinking about 2026 and consumer demand?
Fabio Faccio: That's an important question. And I think that Daniel kind of spoke about this in his remarks. We don't want to comment of quarters that are underway. So your question is good first to speak about the full year outlook. Last year, 2025, when the year began, we spoke a little about this, that we had an expectation of a greater first half and the second half of the year with low growth for a number of reasons. There are many variables, comparable base, planning, macroeconomic situation, which over 2025 for a long time, we saw consumers more under pressure, and we felt that in the end of the year. Now, things happened in line with our expectations, not exactly the same. The first half was stronger. We grew 15.6%, second half we posted about 4% increase. We got to 9.2%, which is very much in line with what we're expecting for 2026, was thinking about 9% to 13% for the coming years. But as Daniel said, for 2026, our year expectation is the reverse. For a number of reasons, we expect a first half growing less and the second half growing more. And one of the main reasons is inversion of the comparative base. We're going to have a stronger base in the first half and a weaker comparison base in the second half. So that already changes the expectation. And there are other reasons as well. Last year, we saw customers being under pressure, more and more under pressure because the interest rates were very high, were very long. And the expectation this year is okay, interest rates are already high. But the expectation is that interest rates will ease over the year. So the comparative base, the easing in our operational planning, put it all together, our expectation in that range of 9% to 13%. We don't expect equal quarters, of course. A first quarter, weaker second quarter, stronger, but growth along the year, along the quarters, as the quarters unfold.
Fabiana Oliver: Next question coming from Vinicius Strano with UBS.
Vinicius Strano: Two questions. if you could comment on how you're seeing price positioning of the company compared to the main competitors? And how is the customer perception regarding pricing in the Renner brand? How do you see this evolving? With inventory is improving, the company is generating a lot of cash. I'm just trying to understand whether you have any room for reinvesting part of the gains to increase commercial competitiveness to drive volume. My second question is regarding credit. If you could comment on how you see the expectations for Realize, speaking about the new cohorts of customers, your private label sales are slightly lower than historical levels. With declining interest rates, do you see -- do you expect a different demand?
Fabio Faccio: Well, I'll start with the first part of your question, positioning your prices, Daniel will speak about credit and Realize. So here's what I can say. In our view, our price position is very adequate. We are very competitive. We have heard some complaints about promotional activity in the industry. I think that there are many players trying to adjust their prices and positioning. We saw some competitors at some points with very high prices, and we were very consistent in our pricing strategy. I think we have very competitive entry prices. Our model with the reduction of old inventories has allowed us to boost our gross margin, and this is very important to maintain competitiveness. Competitiveness in our positioning, of course, things are very fluid. Things are a living organism. The market is adjusting itself all the time. So we are always looking at pricing vis-a-vis our competitors, what matters for our shoppers. But I would say that on average, our prices are very much in line with inflation. And I think that customers do value that. We have seen consistent improvement in our NPS, focused not only on customer experience, but products. Our products are improving in quality, assertiveness, with greater price competitiveness. And the other part of the equation, we are growing in price. It doesn't mean higher price. It means lower markdowns. And that's very sustainable for us because it's a result that comes from greater efficiency rather than an attempt to gain margin by increasing prices. Our prices are very well positioned.
Daniel dos Santos: Vini, speaking about Realize. Over 2025, we were very cautious in our originations. On one hand, this is reflected in the quality of the portfolio levels of delinquency of our portfolio. We do not believe in the short term in any change, we'll continue to be very cautious and prudent. When we look at delinquency levels in the market, there was a certain deterioration. If we consider the middle of the year and now which means that we will continue to be prudent and cautious. On one hand, this, of course, reduces the potential to expand the customer base and the portfolio. When we look at the loss of share of our Card, it's a reflection of that. We believe that as the macroeconomic scenario improves, we'll be able to increase our originations. On the other hand, it is what we mentioned in our Investor Day, which is the value proposition of Realize. We have plans to continue to strengthen that value proposition. One of the milestones is the new office room will be available in the second half of the year, and this will allow us to bring in other elements in the value proposition, which will allow us to combine a possible increase in origination with a better value proposition. This will allow us to recover the share of the Realize Card in Renner sales.
Fabiana Oliver: Next question from Eric Huang with Santander.
Eric Huang: I would like to address the digital channel. You mentioned it is an important driver of growth in the coming years. I'd like to talk about profitability. You mentioned that profitability is improving. So looking at the sales mix, how much more has the share of sales evolved on the channel? And what is the gap? Thinking about EBITDA margin of the channel versus brick-and-mortar channels. How is this evolving? That's number one. And my second question, a very quick one regarding performance of Renner stores in shopping malls, where international players are also going. There was a comment about that, that it kind of drove sales. I'd like to understand that.
Fabio Faccio: Thank you, Eric. I'll start with the last one, and then I'll turn the floor to Daniel for your first question. As regards opening of international stores of international competitors, I agree with the observation of another player. Since these are few stores, in a large universe of shopping malls, when a new store opens, which is a novelty, of course, that brings foot traffic to the mall. But we're very competitive. Our performance in the shopping malls where these stores are opening, well, it's a good performance, a better performance. They haven't impacted us as for the profitability of the digital channel.
Daniel dos Santos: Thank you for the question. First, our strategy is an omnichannel execution. So we aim to be very transparent in how we execute things. When we look at the digital channel, the digital channel, is one of the big advances we had in the period. When you talk about the cost of operating the channel. The investments we made and the centralization of all sales of the digital channel. In the Cabreúva DC that allows us to have a similar cost of operation today. The growth we have in brick-and-mortar stores or over the digital channel, this does not increase operational expenses because we have the cost to operate both channels operating in a similar way. This is the result of investments we made, and it's something that in the future will allow us to work with both channels without a concern of having expenses increasing related to one channel or another.
Fabiana Oliver: Next question from Danni Eiger with XP.
Danniela Eiger: My question is almost a follow-up question of what I asked in the last video conference call. I remember I asked you, what you were doing to go back to being the outperformer of the industry, as you always were. It seems that this quarter is pointing in that direction. You're talking about in-season reaction, it is a point that in Q3, you mentioned that you were not doing that. Could have done it. But I think it would be cool to understand the changes such as this one that can sustain in addition to the whole model, as you mentioned, in your positioning, you talked about colabs, and I remember Fabi talking about revisiting sub-brands of Renner -- and how the store is distributed and assembled. So my question is, trying to understand what you're doing in the operation itself, other than the model because we talk a lot about the model. But at the store level to sustain this overperformance because if we look at the 9%, you delivered in 2025, it was much driven by the first half. Of course, there was a customer base, get execution. But I'm thinking about what is it that you are building to overcome the difficulties in 2026?
Fabio Faccio: There are many variables, you mentioned many of them that are very important. It is what we have been saying just the beginning of our investments in the evolution of our model. The expectation is that we'll have gradual gains, gradual improvement. We will continue to accelerate our gains over a longer period of time. And that's why we have a 2026-2030 cycle because we expect to have continuity of growth, margin improvement, efficiency gain in that time horizon for a long time. And there are many variables. We have the DC that we all see. The DC will bring about operational productivity, but also distribution assertiveness. We will be able to do something that was not done in the past. And as we do it, we increase efficiency. That is a gain. And our decisions are having speed to produce in season. We strive doing that in a more robust and efficient way. We gain assertiveness. And that's why we say it's a gradual process. We learn as we go and we implement and we learn. We don't go from 8 to 80. Because if we do that, we can have problems rather than productivity. We prefer to do it gradually. We see opportunities of new products, replacing markdowns by new products. This is not trivial. Some people are just trying to have new products, and some people are just trying to have markdowns. So how can we do this? But what kind of product we test, we see what works with this regard what doesn't work. The Renner brand more focused on fashion. It's not just the place to sell fashion. It's more of a brand fashion, a fashion brand, actually. And it's been more and more recognized by our consumers. So there's a whole array of actions that are very much coordinated. We have a lot of actions in product, distribution, fulfillment, operation, productivity, brand and customer journey. Putting it all together, that's how we expect to have a gain in productivity, efficiency, value creation with profitable growth in 2026 to 2030. That's why we announced our plan in that time frame. So it's the sum of all of these parts.
Fabiana Oliver: Next question from Rodrigo Gastim with Itaú BBA.
Rodrigo Gastim: Fabio would like to explore this dynamic, which I thought was interesting internal expectation in different first and second half. I'm not speaking about the quarter. I know you don't want to speak about Q1. It makes sense. I just want to understand because when we monitor Renner, when we look at the growth of the apparel segment, with a weighted average of the 440 stores that Renner has in different states, we see the debt of Renner, the market where Renner operate are growing almost 4 percentage points versus last year a relevant a significant acceleration at the beginning of the year. So I'd like to understand the logic of first versus second half of the year. But seeing this substantial acceleration of a debt and considering that you should not be losing market share. It's hypothesis, I'd like you to comment. My question is, can you really have a qualitative perception that is similar to what we see in debt?
Fabio Faccio: Thank you, Gastim. As you said it yourself, since we gave you a guidance between 9% to 13% on annual basis, we are not going to be commenting on the quarter that is ongoing. We will make comments on the reported quarters. But in terms of the year, our intent here is to reinforce that never other quarter is the same. If we look at 2025, the full year that we are reporting on is a dramatic difference of growth quarter after quarter. And when we put together our plan and expectations for 2026. In the annual year, it's between 9% and 13%. It is what we expect for the year. But considering difference in the quarters, just like last year, when we look at our expectation and when we look at our plan, just this would explain the difference between half years and quarters. In addition, there are other factors. Last year, interest rates increased a lot and continued high. But this year, there's an expectation. I don't know whether it will materialize of declining interest rates, which should benefit the end of the year. And Daniel mentioned that we put pressure in the beginning of the year with a positive and necessary transition. And we are benefiting the end of the year with a more substantial number of store openings when we sum up all of the variables, we expect greater growth in the second half of the year, growing over the year and getting into that range, but with a lower growth in the first half.
Rodrigo Gastim: Perfect. So to understand the rationale. It's very clear, actually. Since the first half, you have a comparative base, which is harder and using the low range of 9%. And that's my own analysis, okay, a mathematical perception. It is probable to have 9% in the first half. So double digit would be expected for the second half of the year, a difference between the half years with the most substantial acceleration in the second half. Is that what we should expect?
Fabio Faccio: Yes. Yes, we're expecting weaker first half and a stronger second half.
Rodrigo Gastim: Perfect. And Daniel if I may ask a quick question about buybacks. You created reserves with Q4 profits. Very much in line with what you have been saying. What do you use, Daniel, as a criterion to press the button of buyback? Is it share price or the moment of the company. I just want to understand the criteria. How do you define and you trigger the process of returning capital to shareholders, specifically with share buybacks?
Daniel dos Santos: On on one hand, it's the composition of the balance of results, as you mentioned. The moment we disclosed Q4, we recompose it. We monitor share prices, and we have some good governance criteria regarding the percentage that we can purchase. We always try to have a cap of 5% and 10% of the daily volume. That's kind of the logic, the rationale we use. And that's the rationale we used last year, it will be very similar to the dynamic we will be using this year as we recompose our reserves we look at the share prices, and we will be executing the buybacks over the year.
Fabiana Oliver: Next question from Irma Sgarz with Goldman Sachs.
Irma Sgarz: About advertising -- advertising spending that dropped 17% year-over-year from what I understood, perhaps part of that comes from digital, where you generate more and more organic traffic. And perhaps you have more intelligence and discipline in spending. First, I'd like to understand what are the levers in addition to that one do you have or have you had in recent months? And any more improvements expected in that line item for 2026 and beyond? And related to that, because I don't want to disregard the 10% growth that you posted in digital, which obviously was great. But I'd like to understand how do you see the market? So digital market segments are growing at higher rates. Perhaps we cannot break it down to the apparel segment, but I'd like to understand, in digital, looking at the digital segment. You gained market share vis-a-vis the market as a whole. Perhaps you could tell us what you're thinking about balance of expenses? And growth in the digital environment. Perhaps you chose to grow 10%, you could have grown 15%. But then your profitability will be reduced. I don't know whether the question is clear, but that's the direction.
Fabio Faccio: I think it is clear, Irma, I'll start with the end, and Daniel I will speak about expenses. When you talk about digital, I think that there are many ways of measuring it. We have been gaining share in our segment. We have seen -- we have been seeing a lot of more compressed margins, too much promotional activity on digital by some peers. And I think that your question involves the balance between market share growth and margin. Our strategy is to grow with profitability. We don't give up on margin. We're not doing a lot of promotions to grow in digital. We have been gaining efficiency and profitability in digital. Of course, if we had more promotions, we would have grown more. That's a direct relationship, but we believe that we can continue to grow. We can continue to gain market share with differentiated value proposition. We have to remember that our products are unique. There are ours, no one else sells our products. So it's not a price competition for the same product. We're betting all that. On our positioning, our power as a brand, our fashion power. And this has given us good results. We have been balancing growth and margin. We want to grow with profitable margins. This is what we are pursuing. It's our continuous pursuit. And perhaps to reinforce. When I answered the question by Eric from Santander, when he spoke about the omnichannel logic. Today, shoppers play in both channels. They can start online and up off-line and vice versa. And the integration of the channels is key to have a good balance of expenses. And to work well, not just the profitability of one single channel, but the whole picture. And this is a big challenge in our day today. And this is our strategy to gain productivity because at the end of the day, what matters to us is to grow the whole. And that's why we have that indicator of productivity per square meter.
Daniel dos Santos: On digital Fabio mentioned, knowing how to work well on social media with the influencers, it involves a whole dynamic in the way in which we operate the on and off-line, which is key for our success. Of course, we look and see that the digital channel is growing more, and we're able to perform there. It leads to market share gains as a whole, and we continue to gain market share on digital. And it's kind of what you mentioned in the beginning of your comments. You kind of asked and gave us the answer. Because at the end of the day, the reduction in advertising expenses in the period is the result of this optimization. We continue to optimize investments in the digital channel. When we have more of our own traffic, traffic that comes from this social media strategy and influencers, we can reduce investments on digital, without giving up or hurting our competitiveness and presence on digital. It's part of our strategy. We will continue to evolve over the coming years because this is key for our competitive growth within this omnichannel logic.
Fabiana Oliver: Next question from [ Ian Seskin ] with BTG.
Unknown Analyst: I have just one question. You spoke a lot about margin levers or drivers that were very visible in Q4. My question is more on the logic of the pyramid of product assortment. What is the company's plan, mainly for entry-level products, given the scenario of more challenging consumption in Brazil? So what is your strategy regarding that? And do you expect you will sustain the strategy that we saw in Q4?
Fabio Faccio: Very well, Ian. Thank you for the question. Here's what I can tell you. As we said, in entry-level products, I think that our prices are very competitive. We have an assertive positioning. Our product has good acceptance. A good value proposition for our customers. We have also seen in our middle of the pyramid core products that we are also very competitive. Anything that what is driving more margin gain and where we have more opportunity to continue to gain is with those fashion products. Shoppers come to us due to our fashion expertise, fashion knowledge with a very adequate value proposition. So these products tuned to fashion. And this also kind of becomes the middle of the pyramid. And this is the strategy that is bringing a lot of value and margin for the company. And when we speak about assortment, and that's where the opportunity lies. Well, of course, this is no dramatic change, but we have been seeing opportunities to add a few more products mainly in the end of cycles during seasonal transitions and weather changes, we bring something in terms of middle of the pyramid in fashion, trying to anticipate this. And this is bringing us good results. So in the pyramid as a whole this brings about an opportunity of a slight increase in average price, not a specific price or specific product and the entry-level products are at a very competitive level.
Fabiana Oliver: Next question from Joao Soares with Citi.
Joao Pedro Soares: I have some quick questions. I think it's very clear in terms of sales dynamic over the year, but Fabio. I'd like to do some mental exercise with you on the 3 main moving parts. When we think about volume, ticket and price. Just so we know what will move the needle? Because last year, we had a strong volume base. The whole industry suffered. We saw that in data of the segment. So what are you thinking about this? And this is also a relevant point here. If we have declining interest rates and you go back to the original origination level, this will help our analysis. Is this going to happen in your expectation? If we have a more hawkish interest rate cycle, could this impact your outlook?
Fabio Faccio: Sure, thank you for the question. I think that, yes, it's a sum of everything. When we speak about the outlook for the year, there is the base effect, which is relevant. If we look at last year growth, it's very different. So the base effect is important. And there's also the element of interest rates when we start having an easing of interest rates, we put less pressure on consumers and to have a greater ability to pay and with a lower risk environment. It's a virtuous cycle. When for a long time, you have a lot of pressure that worsens ability to pay. But when you are easing, you improve everything. In a lower risk environment, you can go back to granting more credit, and this will lead to more sales. Our expectations while interest rates will start declining over the years. So in addition to the base, we have higher expectations for the second half of the year. And Internally, we opened a lot of stores in the end of 2025. These stores will gain productivity. We'll know more about their customers over the year, and they will trend up. And so we expect an improvement in the second half. And then we'll be adding more stores this year. If we think about average growth in 2024, it was basically net 0. In 2025, average area growth was about 1% with 1.8% in the end of the year, which kind of drags this to 2025 in the average area growth, when we speak about 50 to 60 stores expected, it's about 3% on average this year, getting to 4% in the end of the year. All of that, the last year's stores and the stores we're going to open this year will all help the second half of the year. So these are the three main moving parts. The base, the easing of the interest rates, and operationally speaking, we'll have more power coming during the year, mainly more towards year-end.
Joao Pedro Soares: Excellent. And if I may, touch on another point. It has to do with what you disclosed in the Investor Day of 50% of payout. In your opening remarks, you mentioned that it could be higher than that. We see that you have a new buyback program, you have a cash position that is very strong. And thinking of what you distributed in 2025, it was above the guidance that we expected. So it seems we have this impression that in 2026 you should go over the cap because you're well positioned for that. Just want to be a little provocative regarding that, Daniel.
Daniel dos Santos: So I think what matters is, let's analyze 2025. As I mentioned, we used the reserves of prior years. We started the year with 0 reserves. And we will recompose reserves with the Q4 results. As we explained in the Investor Day, the rationale. The rationale is I'll seek to distribute our reserves as they are recomposed. In looking at our cash generation, limited to what we consider minimum cash internally. If we create more reserves and if this is coupled with a good cash flow generation, we have the potential to be able to exceed the cap of the guidance, which is what I mentioned, the guidance is a guidance. It's a range, but it's not a limiting factor. If we have better cash flow generation, we might distribute interest on capital. It will always have a priority given the tax advantage. We can supplement that with a share buyback or perhaps an extraordinary dividend payout. That's kind of the dynamic, but we'll have to see how this will evolve during the year. If we have more cash flow generation, we might exceed the cap, the upper range.
Fabiana Oliver: Next question from Andrew Ruben with Morgan Stanley.
Andrew Ruben: Thanks very much for the question. Two topics from my side, please. First, you mentioned the consumer pressure from reduced purchasing power, but I'm curious if you're seeing any type of divergence in your stores that cater more towards higher income consumers versus lower income. And then second, curious also for Street versus non-Street stores. Any differences you're seeing in performance? And also as you look to the opening plans for this year, how you're looking at mall versus street stores for the plans.
Fabio Faccio: Thank you, Andrew. As for the first part of the question, I would say that we haven't seen any dramatic change in consumption in recent months. Second half posted lower growth, there's a base effect, consumption effect, but -- the habit of shopping seems to be very similar. Unlike other types of retail, we have identified opportunities for fashion products, products with an added value that are selling well with good margins. Now obviously, purchasing power is under pressure, whereas the growth would have been a lot higher. And I think the easing of the interest rates -- easing cycle of the interest rate might help with that. But I would say that we expect or we saw some stability in the past few months. And as for performance of cities in -- in smaller cities. I'm not going to talk about street or non-street shops. But street is in midsized cities, as Daniel mentioned. They're performing really well. We are performing as expected or slightly above our plans. And as we mentioned in the Investor Day, above similar cohorts of the past, where we have stores in shopping malls and bigger stores. And this is due to lower costs and lower cost, as Daniel mentioned, and the lower cannibalization because we're opening stores in virgin cities. So there's a faster acceleration. And there's improvement online. So it's bringing 10% more sales online in those cities or else the brick-and-mortar stores would be selling even more. So we're happy with their performance. They are performing better than past average. According to plan or slightly above on average and with opportunities for improvement. Because all the improvement we have seen in fulfillment will helps us understand the type of consumer, type of shopper in that city, and that improves fulfillment illustrativeness. In smaller stores, it's going to be even more important. So we're happy with the evolution of our model. And this is the best timing to accelerate after opening expansion. We're accelerating to open 50 to 60 stores in total of the brands. Renner, 22 to 30. Youcom 23 to 25 and about 5 Camicado stores and our expectation. And we'll speak about this in a year's time, okay? But our expectation is that perhaps in 2027, we'll open even more stores. And just to speak about shopping mall and street stores. In the different cities, we have to analyze the potential of the city qualified demand, and then we'll look for the best location. It might be in a shopping mall, it might be a street store. So there is no rule written in stone. It will depend. It will vary city by city. In larger and bigger cities, we are normally present in shopping malls, okay?
Fabiana Oliver: With this, so we are ending our Q&A session. Additional questions that were not answered can be sent to our IR team. I'll give the floor back to Fabio for his final statements.
Fabio Faccio: Well, our conclusion regarding 2025 full year is that we are ready for the 2026-2030 cycle. We know what works. We also know where we have room for improvement. We are confident in our strategy and the quality of our team. We have focused on delighting our customers and creating consistent and sustainable value to our shareholders and other stakeholders. Thank you very much for joining us today.
Fabiana Oliver: Thank you. Have a great day.